Operator: Greetings and welcome to First Republic Bank’s First Quarter 2016 Earnings conference call. During today’s call, the lines will be in a listen-only mode. Following the presentation, the conference will be open for questions. I would now like to turn the call over to Dianne Snedaker, Executive Vice President and Chief Marketing Officer. Please go ahead.
Dianne Snedaker: Thank you and welcome to First Republic Bank’s first quarter 2016 conference call. This quarter, we’re going to do something different and have our expanded executive team provide some color about both the business and the geographies each one have received. Speaking today will be Jim Herbert, the Bank’s Chairman and Chief Executive Officer; Mike Roffler, Chief Financial Officer; Mike Selfridge, Chief Banking Officer; Jason Bender, Chief Operating Officer; Gaye Erkan, Chief Investment and Deposit Officer; and Bob-Thornton, President of Wealth Management. Before I hand the call over to Jim, please note that we may make forward-looking statements during today’s call that are subject to risks, uncertainties and assumptions. In addition, some of our discussion may include non-GAAP financial measures. For a more complete discussion of the risks and uncertainties that could cause actual results to differ materially from any forward-looking statements and reconciliations of non-GAAP financial measures, see the Bank’s FDIC filings and reports, including the Form 8-K furnished today, all available on the Bank’s website. And now, I would like to turn the call over to Jim Herbert.
James Herbert: Thank you, Dianne, and thanks everyone for joining our call today. We’re very pleased with the first quarter results, as well as the increase in dividend by $0.01 to $0.16 per share per quarter. Revenues are – revenues, earnings, loans, deposits, and wealth management all grew very nicely during the quarter. Quite importantly, we remain fully committed to our high credit standards and credit quality remains exceptional. Capital levels were quite strong, and we’re pleased to have successfully raised an additional $150 million of perpetual preferred stock, further strengthening our Tier 1 capital during the quarter. In fact, over the past 12 months, we raised a total of approximately $670 million of new Tier 1 leverage capital through four offerings. We continue to invest heavily and successfully in enhancing our regulatory and compliance infrastructure and systems and would expect to continue to do so. In terms of a few key performance metrics, let me focus on to in particular. Revenues grew 23% year-over-year and GAAP earnings per share were up 24% year-over-year. The strong performance in earnings was the result of several items. Loan volume of $4.8 billion, a record first quarter. Loans grew outstanding 2.9% for the quarter and 16.2% from a year ago. Deposits grew 6.4% for the quarter and 27.5% year-over-year. Excuse me, quite importantly, net interest margin was up nicely to a 3.14%. Mike Roffler will provide further details on this in a moment. Wealth management revenue increased 31% year-over-year. Our Tier 1 leverage capital continues to be quite strong at 9.38%, and finally and very importantly, nonperforming assets were only 10 basis points of total assets. Overall, First Republic’s franchise is doing very well. We continue to succeed by remaining completely focused on exceptional client service. The execution of a very simple business model that offers stability and predictability, the maintaining of the highest possible credit standards, and the retaining of a strong capital position at all times. Now, let me turn the call over to Mike Roffler, our Chief Financial Officer.
Michael Roffler: Thanks, Jim. I will cover purchase accounting, core net interest margin, the efficiency ratio, loan loss provision and income taxes. Let me start with purchase accounting and its diminishing impact on earnings. The earnings contribution during the first quarter from the remaining unamortized purchase accounting from our divestiture from Bank of America is a de minimis $0.01 per share. As you saw in this morning’s press release, we will no longer report core metrics with the exception of core net interest margin. The core net interest margin continues to benefit favorably from the amortization of the remaining loan discounts from divestiture. With respect to our core net interest margin, we are pleased with the 12 basis point increase during the quarter to 3.14%. A little more than half of this increase was due to lower average cash balances, which were drawn down to fund our lending and investment activities. We’re also pleased, the contractual loan yields increased 3 basis points from the prior quarter. This was partly due to the rise in the Fed funds rate in mid-December and the resulting impact on floating rate loans. We would note that market lending rates have trended a bit lower since about mid-February. Regarding expenses, the efficiency ratio for the first quarter was 61.4%. As expected, we incurred approximately $12 million in incremental seasonal payroll taxes and benefit costs during the quarter compared to the prior quarter. Without such first quarter elevated payroll taxes and benefits, our efficiency ratio would have been 59.1%. For the full-year 2016, we expect the efficiency ratio to be 57% to 61%. Turning to our loan loss provision, we added $4.5 million to our reserves during the quarter due to continued loan growth. This quarter’s provision was lower than previous quarters as a result of a decrease in business lines of credit outstanding. Mike Selfridge will discuss business banking in a moment. Looking at the provision, I would note that over the last four quarters, excluding this first quarter, our average provision for loan losses was approximately $14 million. This is about $9.5 million higher than the current first quarter of 2016, or about $0.04 per share. We estimate our effective tax rate at the beginning of each year, and in 2016, our tax rate is expected to be 24%. This is slightly lower than we expected in January, primarily due to greater levels of tax-advantaged investing. Overall, we are very pleased with the quarter. Now, let me turn the call back to Jim.
James Herbert: Thanks, Mike. As previously mentioned during this quarter’s call, we will have our Board or executive team provide some color about both the business areas in the geographic regions for which they are individually responsible. Let me start by taking New York first, and then I’ll turn the call to other members of the teams. Overall business volume in our New York market continues to be robust, while single-family residential sales and home volumes at the very high-end of the New York market has proven a bit. The overall residential market is quite strong. There also is continued demand for multifamily and commercial real estate loans, the loan pricing is pretty competitive. We are very selective in this latter space and extend credit on a very conservative basis. Overall, the real estate market and general business to loan demand in New York is active. And cross-selling into both our business banking and wealth management continues to be very strong. Now, I’d like to turn the call over to Mike Selfridge, our Chief Banking Officer to cover San Francisco Bay Area, which represents a meaningful portion of Bank’s lending activity along with business banking.
Michael Selfridge: Thank you, Jim. In the San Francisco Bay Area, economic conditions are good and loan demand remains quite strong. The Bay Area remains a center for innovation, job creation, and economic activity. The real estate market continues to be characterized by limited inventory and strong demand for homes. Prices are now appreciating at a more sustainable rate, which we believe is positive for the overall market. Our market position and reputation in home lending continues to lead new – lead into new growth in households and increased cross-sell activity. The Bay Area pipeline is robust, heading into the spring home buying season. Business banking remains a key contributor to the franchise and was a meaningful driver of deposit growth and new client acquisition during the quarter. We are repeatedly winning new business and deposits due to our reputation for extraordinary service, the success of our cross-selling efforts, and our single point of contact model. Business deposits mostly in checking now represents 53% of total deposits. As Mike mentioned, business loans outstanding declined 5.5% from year end. This is largely due to a decline in the utilization rate on business lines of credit. More recently, we have seen our private equity and venture capital clients exercise greater caution, which has slowed the pace of their investing and in turn has decreased borrowings on capital call lines of credits. Our overall utilization rate on all types of business lines of credits was 31% at the end of March 31, as compared to 36% at December 31. However, while the utilization rates have declined, our backlog for business lending is strong. Now, I would like to turn the call over to Jason Bender, our Chief Operating Officer to discuss overall loan volume and pipeline, credit quality, and our California South Coastal region.
Jason Bender: Thank you, Mike. Bank-wide loan volume was a record $4.8 billion in the first quarter, up 13% from the first quarter a year ago. Single-family lending overall continues to be strong, which is typical as we head into the spring buying season. Going into the second quarter, our loan pipeline remains very strong and is up from a year ago. Loan pricing remains competitive in our markets and we saw an increase in refinance activity late in the quarter. Of our single-family lending, home purchases accounted for 46%. Credit quality continues to be very strong. Non-performing assets remain extremely low at just 10 basis points. During the quarter, we actually had a small net amount of recoveries. The credit quality of the bank reflects a continued focus on disciplined underwriting. Loan sales totaled $478 million in the first quarter and contributed $0.01 per share to earnings, consistent with recent quarters. Regarding the South Coastal California region, which encompasses Orange County and San Diego, we continue to acquire new relationships and deepen existing ones. With business and professional services, biopharmaceuticals and the medical community, key drivers of activity for the area, home pricing remains stable to up somewhat. Demand for single-family homes remains strong. Additionally, we have seen continued opportunities in wealth management. This has been the result of new hires added over the past few quarters and our team-based approach to cross-selling. Let me now turn the call to Gaye Erkan, Chief Investment and Deposit Officer, who will talk about our investment portfolio, deposit franchise, and our Boston and Portland markets.
Hafize Gaye Erkan: Thank you, Jason. Our total investment portfolio at the end of the first quarter was $11.4 billion, up 9% from year end. Investments now represents 18% of total assets. The yield on the portfolio has remained stable from the last quarter. HQLA holdings, including eligible cash totaled $7 billion at March 31, or a 11% of total assets. As we have indicated, we plan to grow HQLA, say, at least, 12% of total assets by year-end 2016. We would note that we have recorded $3.3 million gains upon a modest securities portfolio to positioning in this quarter, approximately $0.01 per share. Turning to deposit, it was another terrific quarter. We are very pleased with the continued momentum in our deposit gathering franchise, as well as the improvement in our overall deposit mix. Total deposits grew at an annualized rate of 26% in the first quarter to $50.9 billion. Importantly, checking grew 31% on an annualized basis and is now 64% of total deposits compared to 60% one-year ago. The average rate paid on total deposits was only 13 basis points, down 1 basis point from the prior quarter. Deposits continued to be well diversified by both client type and channels. Let me speak for a moment about our Boston and Portland, Oregon markets. Boston remains a stable market, driven by a broad range of industries. Financial services, including private, equity, and venture capital, professional services, biotechnology, and education. The single-family residential market is characterized by very tight inventory. We also see strong tenant demand for multi-family housing and increased demand for commercial space. Overall in Boston, we have seen robust activity across all of our business areas with increased opportunities ahead as new businesses move to the region. Turning to Portland, the increasing attractiveness of the area supported by strong employment growth has also resulted in significant opportunities. Demand for real estate is substantial due to the increasing presence of information services and technology companies. We have seen demand in particular for wealth management services for businesses, including non-profits and foundation, as well as customized trust solutions for individuals. Now, I would like to turn the call over to Bob Thornton, President of Wealth Management, who will cover Wealth Management along with the Los Angeles and Palm Beach region.
Bob Thornton: Thank you, Gaye. Wealth management had an excellent quarter. Wealth management assets grew 30% year-over-year and now stand at $73.4 billion. Wealth management revenues were up 31% year-over-year. The growth in wealth management assets during the quarter was due to a number of factors. First, the continued asset inflow from both our existing and new clients was very strong. Next, our full-service open-architecture wealth management platform continues to resonate exceptionally well with clients. And finally, we continue to hire new wealth management teams and brought on four advisor teams during the quarter. Turning to the Los Angeles market, we continue to see it to be a stable source of business growth and opportunities for First Republic Bank. The Los Angeles market is driven largely by the entertainment, media, apparel, financial, and professional service industries and it’s doing quite well. Single-family home buyers in the Los Angeles market during the quarter were higher than a year ago with continued demand – continuing demand. Buyers appear more selective, given the continued appreciation on home values. Overall volume in credit quality remains strong. Similar to our other markets, pricing remains very competitive, while we will compete on price, we will not compete on underwriting standards. Turning to Palm Beach, home prices appear to have stabilized after several years of appreciation. Demand remains strong, given somewhat limited supply, but buyers have become more selective. Overall, Palm Beach has complemented our New York and Boston markets in meeting our clients’ needs for banking and wealth management. And now, let me turn the call back to Jim.
James Herbert: Thank you all very much. It was overall a very good quarter, one of our best ever. We’re pleased with the results, which we’re in close alignment, in fact, with our business plan. We continue to see strong lending opportunities in our markets for credits that meet our prudent underwriting standards. We have a robust backlog going into the second quarter. We also continue to see strong growth in our deposit gathering activities, as well as very active cross-sell within all of our business lines. First Republic remains focused on the business of the business. It is very straightforward, makes safe loans, gather deposits, follow our clients to the businesses and nonprofits that influence and care about and served our wealth management needs. We would note that we do not engage in investment banking or capital markets trading. We have no direct exposure to energy, and we have no international lending or operations. We stick completely to what we know, what we can do well, the limited geographic footprint in which we operate and the focus segments of business that we service. Thank you very much. We’d like to open the line for questions.
Operator: [Operator Instructions] Your first question is from Steven Alexopoulos from JPMorgan.
Steven Alexopoulos: Hey, good morning, everybody.
James Herbert: Good morning, Steve.
Steven Alexopoulos: I wanted to start, so there’s obviously lots of talk about the riffle effects heading San Fran real estate from what’s happening with the late-stage tech revaluations you guys still have really great single-family originations. Can you give us some color of what you are seeing in terms of the ripple effects and you think mid-teens loan growth is still reasonable this year?
Michael Selfridge: Steve, it’s Mike, I’ll take the first part and hand it over to Mike Roffler. But as far as the overall market there, there has been a bit of compression in certain valuations, such as private equity valuation for the companies that are investing in. And in terms of the ripple effect, I would say that we’re not seeing anything yet. We’re seeing a modest compression may be in certain markets on medium home prices. But outside that, the markets are still active in – on the residential side. And if you look at the number of transactions being done, it’s still coming through at a decent clip every quarter. As far as loan growth expectations…
Michael Roffler: Yes, Steve, this is Mike. I would say for 2016, we’re looking at low to mid-teens loan growth is what we feel pretty comfortable with at this point.
Steven Alexopoulos: Okay, that’s helpful. Thanks, Mike. Just on wealth management, if we look at the $73 billion of wealth management assets, could you give us a sense of what – obviously, there were quite a few press releases lift-outs from Credit Suisse hitting during the quarter. Was that a meaningful in terms of the asset growth this quarter, or maybe how should we think about what these teams could ultimately bring over this year?
Bob Thornton: I would – this is Bob Thornton. They were a meaningful contribution to our asset growth. It was a very unique opportunity that we discussed last quarter, bring over these teams they’ve added to overall mix, and we’ve seen probably about 85% or 90% of what we expect those teams to bring over.
Steven Alexopoulos: Okay. So it’s basically done at this point, Bob?
Bob Thornton: Yes, yes.
Steven Alexopoulos: Okay. And related to the growth – this is my final question, you’re having a wealth management. I know Mike Roffler, you talked about the efficiency ratio being in that 57% to 61% range this year. Is 57% realistic anymore, given the growth you’re having in wealth management? Thanks.
Michael Roffler: So I think that’s a good point, given the growth in wealth management, which is now 13% of our revenues and it’s got good momentum. I think we’re likely operating at the higher end of that range still 59% to 61% is probably a more normal operating range.
Steven Alexopoulos: Great. Thanks for all the color.
Operator: Your next question is from Ken Zerbe from Morgan Stanley.
Ken Zerbe: Great. Thank you. Good morning.
James Herbert: Good morning, Ken.
Ken Zerbe: Just looking at the business lines, I was hoping you can quantify the – you mentioned the private equity and venture capital call lines that those would come down. How – were they – the sole reason for lowered business loans, or can you just quantified that versus the non-PE capital call lines or VC call lines? Thanks.
Michael Selfridge: Ken, it’s Mike. The – we came off a very active fourth quarter. And yes, the decrease was largely attributable to the lower utilization rate, a lot of fund that borrowed in the fourth quarter paid off as agreed in the first quarter. So we expected that and that’s the way those lines of credits were. I would say stepping back a little bit, two things. One, if you parse out business banking, loans is one piece about 13% of our total loan portfolio. Deposits and client acquisition remains strong. You saw deposits in terms of the business banking contribution increased about 53% of our total deposit. So I wouldn’t look at loans as one quarters as far as the way I see it in business banking as being indicative of the future opportunities. We feel good about the future opportunities for business banking.
Ken Zerbe: Understood. Are you within that capital call line though, or are you seeing any signs of stabilization, or sort of as we went through the quarter, or are you still seeing declines?
Michael Selfridge: It’s hard to predict and the number of deals being done by private equity in BC was down in the first quarter. And so we can’t predict the volume or velocity of the deals that are being funded. So that’s tough to predict. What we feel is more sustainable as the acquisition of new clients in that segment.
Ken Zerbe: Got it, understood. Okay. And then just really quick on wealth management, if I read the way you presented at this quarter, it looks like you may have included foreign exchange fee income as part of wealth management, whereas you may not done that before? Is there any reason for why foreign exchange is a wealth management product? I’m just trying to make sure I understand that correctly?
Bob Thornton: Sure, Ken. We started to show that in the press release in the fourth quarter when we quantified wealth management fees. But in our segment reporting for wealth management, it’s actually been there since the bank divested in 2010, and it’s managed by our securities company and broker-dealer participants, which is why we consider a part of wealth management.
Ken Zerbe: Gosh, okay. All right. Thank you.
Operator: Your next question is from Joe Morford from RBC Capital Markets. Mr. Morford has disconnected. The next question is from Aaron Deer from Sandler O’Neill & Partners.
Aaron Deer: Hey, good morning, everyone.
James Herbert: Good morning, Aaron.
Aaron Deer: I’m just curious the – with respect to the reserve ratio with the balances declining on the commercial lines this quarter – so that reflected there. So I was wondering if we can get a sense of what the reserve ratio would be in the individual loan books in terms of you broke out C&I versus the residential real estate, versus commercial real estate kind of what the targets are for the reserve in those books?
Michael Selfridge: So I probably look at it more on an overall basis, Aaron, and we think 55% to 65% is a pretty good range. In the previous quarters, we’ve probably been towards the higher end of that, due to business banking and we probably – we tilted down a little bit. I think in our quarterly filings with all the details, you can see single-family gets a pretty a lower allocation, given the risk in the portfolio versus business, which will be a bit higher. And that leads to a little bit lower reserve level in total this quarter on a percentage basis this quarter, given the decline in outstanding.
Aaron Deer: Okay. And then with respect to the margin and the liquidity deployment that you had this quarter, as we kind of look out over the course of the year with the plan securities purchases and what you’re expected for loan growth and liquidity. What – is it reasonable that the margin can kind of hold up at this current level?
Michael Selfridge: Yes, I think we feel pretty good about the current level there. Loan pricing remains very competitive and has ticked down a little bit. But overall this margin and our liquidity levels where they’re at feels pretty good for us as we look out over the horizon.
Aaron Deer: Okay, that’s great. Thank you for taking my questions.
Operator: The next question is from Casey Haire from Jefferies.
Casey Haire: Hey, good morning, guys.
James Herbert: Good morning, Casey.
Casey Haire: Just want to follow-up on that on the liquidity profile, the deposit growth moderated a little bit, but very strong in what was – is typically a seasonally slow period for you guys. Just wanted to get some color on what sort of driving that? I know that the wealth management piece is a new component for you, but the drivers and if you’re surprised by it and does your NIM outlook contemplate the liquidity – the loan to deposit ratio holding at this level, or improving going lower from here?
Hafize Gaye Erkan: Growth was – the deposit growth – it’s Gaye. The deposit growth was diverse across the board, both by channel as well as client type. As Mike Selfridge mentioned, business banking has been a strong contributor to deposits. In addition, our wealth management SIFI accounts also have seen strong growth, driven in part by the new hires over the past few quarters. And lastly, they’ve also seen growth in the consumer areas, while especially existing clients and their direct referrals remain to be a stable strong driver of increase in deposits. I’ll turn to Mike Roffler on the loan to deposit ratio.
Mike Roffler: Yes, relative to that I’d say, we’re operating the low-90s that feels like a pretty good place for us to be and think we’ll remain in the low-90s from a loan to deposit ratio.
Casey Haire: Okay, great. And just switching now to commercial real estate another nice quarter of growth for you guys even though you guys have been cautious and tightening underwriting standards, obviously a lot of headlines about what’s going on in some of the innovation companies with their occupancy rates there. Just curious, what are you seeing in the Bay Area there, and how can you – how should we expect to see this growth with that kind of a backdrop?
James Herbert: Well, specifically, the Bay Area, the demand is still pretty strong, but we do have a lot of new buildings coming on the line over the next 24 months. So I think the jury is out a little bit on the commercial real estate demand forward 12 to 24 months in the Bay Area. I don’t know if the new buildings will be fully absorbed. If they are fully absorbed, I could riffle backwards into the older buildings. So we’re a little – we’re very cautious on that. We’re very cautious on that. And our loan-to-value ratios in both multi-family and commercial over the last couple of years have, in fact, declined slightly, which is a reflection of our thinking that the values may be inflated more than been pulling back our loan amounts in the absolute sense. The other thing about commercial real estate is, we are pretty active in all of our markets, but very cautiously so, and we draw a clear distinction between multi-family and CRE. The drivers of revenues, the drivers of demand, the drivers of supplier are quite different, and they’re not peas in a pod. And so we pay a lot of attention and we’re much more cautious on CRE than we’re in housing in most of our markets. San Francisco being the home market one of the things has overlooked in San Francisco property is still a rent-controlled city and in fact so is Oakland. So we have a nice floor under the housing rates stability, in fact, if you will. But basically, our LTVs are a little more cautious now than they were a couple of years ago.
Casey Haire: Okay, great. And just one last one, Mike Roffler. On the efficiency ratio last quarter you broke it out in the wealth management, I think it was in the mid-90s and core is running at 85% once you digest some of these new teams. Are we still on track to hit that 85 in the back-half of the year and where was it in the first quarter?
Michael Roffler: Yes. When you look at it on the fee-only basis, that’s right, we think we’ll get to the 85 and maybe a little bit lower. It’s probably in high 80s when you look at it on a first quarter basis. Wealth management just like a bank is impacted by the seasonality of payroll taxes and benefit costs, but it’s trending in the right direction, because it has improved from the fourth quarter.
Casey Haire: Okay. Thank you.
Operator: Your next question is from Paul Miller from FBR & Company. Paul Miller, your line is open. The next question is from Jared Shaw from Wells Fargo.
Jared Shaw: Hi, good morning.
James Herbert: Good morning, Jared.
Jared Shaw: Just on the asset management side, is there continued, or is there anymore opportunity for significant team with that sort of you think that looking at what you’ve done that’s pretty much the whole opportunity at this point?
Michael Roffler: I would say from the standpoint of Credit Suisse, we’ve hired the people that we plan to hire. Look, I mean, we’ll – we obviously continue and you’ve seen to hire other teams as we find them and are attractive and good fits with the organization. And I think you’ll continue to see that on a selective basis.
Jared Shaw: Okay, thanks. And then on the multi-family growth, can you breakout what was New York versus other markets, and how do you look at the growth going forward there? Should we expect to see the similar breakout from geography?
Michael Roffler: One thing on multi-family, I think the growth is, we’re having success in New York and in San Francisco too as Jim mentioned and that’s largely been the two big areas where we’ve had multifamily lending activity over the years, and I’d say it’s pretty diverse amongst those regions. One thing I’d like to point out, we didn’t speak about, during the quarter, we periodically review our commercial real estate multifamily loans and you see a bit of a bigger jump in commercial real estate this quarter about $350 million, over half of that, call it, 60% of that was actually a movement of loans from multifamily down to commercial real estate as part of our review of the actual loans and data. We look at some of the mixed use buildings and concluded they were better characterized as commercial real estate, given their profile. So we did do that reclassification here in the first quarter.
Jared Shaw: Okay. So when you look at the actual growth in multifamily from 4Q to 1Q is actually bigger than…?
Michael Roffler: Yes, it was actually a bit stronger, which is reflective of some opportunities we had in our core markets.
Jared Shaw: Okay. And then just shifting a little to the securities portfolio, what was the duration for the quarter? And then as you look at fully deploying the excess liquidity, where do you target the duration for the overall portfolio?
Hafize Gaye Erkan: It’s Gaye speaking. As part of the repositioning we made sure that that the yield and the duration remained stable. So it’s stable from the prior quarter and we do not intend to extend duration going forward.
Jared Shaw: Okay. Thank you.
Hafize Gaye Erkan: Sure.
Operator: Your next question is from Dave Rochester from Deutsche Bank.
Dave Rochester: Hey, good morning, guys.
James Herbert: Hi, Dave.
Dave Rochester: Just on that multifamily growth commentary, it sounded like it was a lot stronger than it has been recently. How – what would you attribute that strength to? Was it just more purchase/sale activity this quarter, more refi activity you guys were able to capitalize on, just any additional color there would be great?
James Herbert: As our multifamily running was, in fact, pretty strong this quarter, Dave. And I would say it was mostly driven by as Mike implied San Francisco and New York. I don’t see it as a particular change in direction or market strength of any kind. It was – it’s just circumstantial. Obviously, some of the multifamily deals are little bigger, they’re not giant, but they’re a little larger than the home lending. So if we get two or three of the modest size deals closing of the same quarter, you get a little clip up. But I don’t – the demand is there, but the pricing is intensely competitive.
Dave Rochester: Yes.
James Herbert: And so we pass on a fair number of deals. And the advance rates by other banks are climbing and we’re not going there.
Michael Roffler: Yes, just as an add to that, you see in our investor deck this morning, our average LTV and multifamily business in the first quarter was actually less than 50% to Jim’s point.
Dave Rochester: Great, thanks for that color. And then, I guess, how are you thinking about – you guys talked about HQLA being 12%, that’s been your target for a while. How do you think about the rest of the securities portfolio or total securities to assets and how that should trend over the longer-term?
James Herbert: The HQLA target that Gaye referred to is – is a firm target. We will be at 12% or more by the end of the year. The rest of the securities portfolio is somewhat opportunistically driven.
Dave Rochester: So that can fluctuate above and below 20% over time?
James Herbert: Exactly, Dave, and it will.
Dave Rochester: Okay, great. And then just switching to the margin, you mentioned the loan production rate has trended lower from mid-February. Can you just talk about what the differential was and the shift that you saw lower and then maybe what it was in March if it’s easier to just talk about the total average loan production rate for March?
Michael Roffler: Yes, it’s probably best to look at it on the quarter, I would say. And so last quarter it was about 330 on our real estate portfolio and we’re roughly 10 basis points lower, so not a big drop and again that’s only on the new. So the current portfolio is sort of locked in at the rates it’s at.
Dave Rochester: Okay, great. Thanks, guys.
James Herbert: Let me use that last question if I could Dave for a second to comment on rates in general. The challenge in the home loan marketplace is – demand is stable, I would say, it’s strong, but it’s stable. And the number of players in the larger home loan marketplace has increased recently as we pretty much all know that’s led to a pricing pressure, which is okay really it’s – we would prefer wasn’t there, but it’s just the way it is. The one thing that has also led to, the other thing is led to is a decline in standards. And by that, I don’t mean necessarily credit underwriting standards, but I do mean loan-to-value ratios. And as a result, we’re being – we’re holding to our standards as we always do. We’re not raising our LTVs. And so it’s getting a little more harder for us to maintain our volume. On the other hand, the spring quarter where there are purchases rather than refinances are predominant share of the market is one of our better quarters always, because our service delivery on purchases is much is increasingly differentiated versus revising.
Dave Rochester: Are you seeing the diminution on the LTV side more from larger banks, or is it coming from smaller banks, or a mix?
James Herbert: Big banks, the biggest.
Dave Rochester: Great. Good color there. Thank you very much.
Operator: Your next question is from Matthew Clark from Piper Jaffray.
Matthew Clark: Hey, good morning, guys. Maybe just first question on the wealth management side, can you give us a sense whether or not you fully kind of captured the – thus portfolio as a business that you brought over with those teams you’ve hired, or should we see another decent step up here in the second quarter?
James Herbert: I think two things. I think for the hires we talk about it in the fourth quarter, I think by now, we’ve seen most of what we’ll see from those hires. I think for the hires we’ve announced in this quarter the teams, we haven’t seen much of that yet. I don’t – I think that the teams vary in terms of the amount of assets and revenues. But I do think you’ll see some additional benefit of assets and revenues, so that we hired just recently announced this quarter.
Matthew Clark: Okay. And then Mike given the seasonality this quarter, it’s fair to assume and we should see that comp expense remain fairly steady here in the second quarter similar to last year?
Michael Roffler: Yes, I think that’s right. You’ll have a drop off for a decline in payroll tax and benefit. But then you also have the full impact of merit increases that take in – in our case mid-quarter and the first quarter and also we are continuing to add people, both from a front line perspective and also assisting in regulatory compliance and infrastructure of the bank and we’ll continue to do that as we grow.
Matthew Clark: Okay, thanks.
Operator: Your next question is from John Moran from Macquarie Capital.
John Moran: Hey, guys, how it’s going?
James Herbert: Good morning.
John Moran: Hey, just another one on OpEx and I hear you on the seasonal payroll, but then kind of flattish. The professional fees were down up a bunch linked quarter. Wondering is that sustainable, or would you expect that to kind of ramp as we go through the year?
Michael Selfridge: We’re pleased that the continued, I’ll call it transition of professional fee costs that sort of peaked early last year has continued to trend down. I do think there’s probably a natural floor, because you’re going to have audit and legal fees and we are investing in the franchise. So you are happy that some of our professional fees are now dedicated to more impacting client facing initiatives and improving our systems in technologies versus we’re still spending modest amounts related to regulatory belief. We mostly transition that costs from professional fees into personnel, as we’ve added staff into the various areas.
John Moran: Gotcha, thanks. And then one just another kind of follow-up on the wealth management business, something like a 40% of AUM is in money market mutual funds. I’m wondering if you guys were waiving fees and how much of that may have been recovered in Q1, or if you could quantify a dollar amount that might come back in as some of those waivers kind of – stop in sort of a…?
Michael Selfridge: Yes. So we don’t have any large waivers at this point. With the rise in the Fed funds rate, there has been a little bit of a pickup in money market mutual fund fees, which we’re really about zero frankly when rates were there. So it’s still a pretty de minimis amount, but we have seen a little bit of a pickup in those fees and its rates normalized, you should get more of a benefit in the future.
John Moran: Got it. Thanks very much for taking the questions.
Operator: The next question is from Chris McGrady from KBW.
Chris McGrady: Good morning. Thanks for taking the question. Just one on capital, you guys are growing pretty consistently and you’re opportunistically going between rising common and preferred. Can you talk to us a little bit about how should we thinking about common equity – potential common equity rise over the next 12-months?
James Herbert: We think we’re pretty well capitalized right now, Chris. The last 12 months were a good opportunity for us, so we took it. We’re watching the growth rate as we go forward. We do run the bank very carefully on the five-year plan, we always have. We revise it every year for a very thorough on complete process. And then we take it to the Board to discuss with them and get it approved and so that process is usually a full process and we – one of the most important aspects that of course is capital planning and so we pay attention to capital. Having said that, we are also somewhat opportunistic, but it’s very modest amounts as you’ve seen over the years. So it’s not to rock the boat. I think that the fundamental tenet of First Republic is strong at all times and anticipatory of less good times at all times and so we will stay heavily capitalized.
Chris McGrady: That’s good color. Thanks Jim. One more on the balance sheet growth for you Mike, you talked kind of a combine the comments on low to mid single-digit loan growth and kind of addition to the securities book? Is there more remixing going on, I guess the question is earning asset grow at a slower rates and kind of loan growth?
Michael Roffler: So I would say low to mid teens on loan growth and then the securities growth has actually trended a little bit higher as we’ve been building towards at least 12% of HQLA target. So there any assets might actually grow a slightly more than loan growth as we sort of get through that process this year. And then looking out, it’s probably more on lockstep as HQLA and the investments will grow as the balance sheet does sort of consistently.
Chris McGrady: All right, thanks.
Operator: Your next question is from Jeff Elliott from Autonomous Research.
Jeffrey Elliott: Hello, you’ve clearly been going through a big investment phase, if I look at the salaries and benefits line it’s up 33% year-on-year. So could you talk about why you think you are in that investment cycle and how long this sort of growth continues and when we begin to consolidate a bit on that?
James Herbert: Let me respond to that initially and then ask Mike Roffler to add further comments, but that’s a good question. The investment phase of the bank for the last to say 36 months or so has been heavily oriented towards regulatory requirements as we pass the $50 billion threshold. We have put a lot of money and lot of time, and lot of effort into that well over $100 million at least and it’s ongoing and we’re still building a bit. There were few areas of building the – for instance we have things that have not yet fully completed, but almost completed, most of them were done, but not entirely. And then of course they needed to be maintained and upgraded continuously and the standards are being raised all the time and that’s just the way it is and it’s fine. However, as Mike indicated previously, we’re also being able now to shift some of that investment stream over to the business of the business. We have been doing a fair amount under – underneath with the regulatory, but not enough quite frankly. And so we’ve now focused, I think we’ve announced this, but we have our new online system as we rollout this year, Q2 that’s a very big deal. We have dramatic enhancements happening on online application, online reporting, mobile applications throughout the bank, and there are tremendous amount of in-house processes that are being improved. So our investment and our ongoing investment in both people and technology is about the same level it has been, but it has been about 50% shifted to business-of-business versus regulatory and we see that actually as very positive, when will the rewards come from that, quite frankly you never can fully tell and they’re ongoing and there is a combination of offense and defense being played in there and it’s always that way and it just never changes. But we’re more on the offense side now than the defense side and I think it’s going to show very, very nicely in the next year, year and half.
Jeffrey Elliott: But maybe just to follow-up on those comments around tech. Is there anything that you’re not doing on the tech side at the moment that you see competitors doing and that you’d like to get involved with us as well?
James Herbert: Let me ask Mike Selfridge, to comment on that line.
Michael Selfridge: I don’t – I think there are things I wouldn’t consider as bleeding edge of technology, so you wouldn’t see us into some of the new payments technologies like a Bitcoin, for example, but we are competitive as it comes – as it relates to solutions for our clients and processes with regard to technology. So we feel good about our position as it relates to not only the high touch model that we deliver, but also the ability to deliver high-tech to our clients as well, so no glaring holes in our offering.
Jeffrey Elliott: Okay. Thank you.
Operator: That was our last question. I will turn the call back over to Jim Herbert, CEO for closing comments.
James Herbert: Thank you all very much for taking the time today. We appreciate your attention and support. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.